Operator: Good morning, and welcome to the Park-Ohio’s First Quarter 2013 Results Conference Call. At this time all participants are in a listen-only mode. After the presentation the Company will conduct a question-and-answer session. Today’s conference is being recorded. If you have any objections you may disconnect at this time. Up now I’d like to turn the conference over to Mr. Edward Crawford, Chairman and CEO. Please proceed.
Edward F. Crawford: Good morning ladies and gentlemen, welcome to the first quarter conference call for Park-Ohio 2013. I’d like to turn over the microphone to Scott Emerick, our Chief Financial Officer who cover the necessary comments related to projections and reasons and so forth and so on.
W. Scott Emerick: Thank you, Ed. Good morning everyone and thank you for joining us today. You’ve now received a copy of our earnings press release you can find it on Investor Relation section of our corporate website at pkoh.com. I want to remind everybody that certain statements we make on today’s call both during opening remarks and during the question-and-session maybe forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties maybe found in the earnings press release as well as in the Company’s 2012 10-K filed with the SEC on March 15, 2013. The Company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the Company may discuss EBITDA. EBITDA is not a measure of performance under Generally Accepted Accounting Principles. For reconciliation of net income to EBITDA please refer to the Company’s recent earnings release. This time I’ll turn the call back over to Ed.
Edward F. Crawford: Yes, I’d like to introduce Matt Crawford, President and COO of the Company, for his comments on the first quarter results.
Matthew V. Crawford: Thank you, and good morning, we appreciate you joining us today. Overall our results came in about as we were expecting for the first quarter. Our March forecast recognized a lack of any significant catalyst in our current economic environment and as a result we need to restart a little more slowly in the first quarter and as I’ll discuss later to pick up steam during the rest of the year. Highlights of the first quarter financial performance included an 8% increase over the prior year and with revenues of $285 million and earnings of $0.85 per diluted share, which was an increase of 15% over 2012. EBITDA defined total $28.6 million which was an 18% increase over EBITDA in the first quarter of 2012. On a sequential basis comparing to our fourth quarter of 2012, first quarter revenues increased 3% and our earnings per diluted share increased 35%. 8% increase in net sales to $285 million is primarily attributable to the inclusion of a full quarter of FRS results in 2013. For the prior year results include only about a week of FRS performance. In addition the impact of our new program ramp ups in our Aluminum business within the Assembly Components segment also contributed to the increase in net sales. These increases were partially offset by decreases in net sales in the Supply Technologies segment and the Engineered Products segment which we were anticipated in the current environment. The gross profit margin was 18.2% in the first quarter which is comparable to 18.6% gross profit margin in the first quarter of last year, this change is largely due to volatility in the segment sales mix between the two periods. SG&A expenses as a percentage of net sales up 10.3% in 2013, compares favorably to 10.9% during 2012. We continue to watch our spending very carefully before making investments to support our growth plan particularly in the aluminum casting business and Supply Technologies international expansion. Looking at taxes; our effective tax rate for the first quarter of 2013 was 35.8%. As a reminder we fully utilized our U.S. NOL during 2012. Consequently our cash taxes were $4.7 million in the first quarter. Now looking at the segments, first we’ll review the Supply Technologies segment performance. Supply Technologies segment revenues which represent about 40% of the consolidated revenues of the first quarter of 2013, revenues decreased 14% to $114 million compared to the first quarter of 2012. While we do continue to see revenue growth in a minority of end-markets, we saw most of our other markets experienced demand softness, related to a weaker economic environment. Notably we saw the Class A truck market demand declined 32% compared to the prior year quarter. In addition, as we communicated in our last call, we selectively exited two customer accounts during 2012, which do not meet our return on invested capital expectations. On a positive note, volumes in the New Year have strengthened and on the sequential basis with the fourth quarter of 2012 revenues increased 5% even though the truck market demand is down a 11% sequentially we benefited in the lawn and garden, HVAC, industrial and semiconductor markets. We continue to focus on our international growth initiatives, diversifying expand our customer base and add growth resources to our sales and marketing team. With those goals in mind our backlog of quoting activity is still in excess of $100 million of annual business. We’re happy to report that we’ve just won approximately $6 million of new annualized business that should commence realization in the fourth quarter of 2013. Segment operating income declined 11%, $8.8 million. Despite the unfavorable revenue trending discussed above, segment operating income margin grew 20 basis points to 7.7% compared to the prior year. We continue to realized good growth in customer mix including the introduction of new items into our supply chain offering, the pairing of some low margin business and we remain committed to strong expense management. Next I’ll discuss the engineered products segment; engineered products revenue presented 28% of consolidated revenues. Net sales decreased 8% to $79 million compared to the first quarter of 2012. Our forging business demand, which is primarily focused on rail was very strong in the quarter. However the industrial equipment business demand for original equipment continue to reflect the weakness discussed on our year-end call especially in international market. Still our expectation for second half of the year remains strong for the industrial equipment business based on current bookings inquiry levels as well as the study aftermarket performance.  Segment operating income decreased 13% to $12.3 million, while segment operating margin was still very strong at 15.6%, lower absorption based on volume and some unfavorable customer and project mix contributed to a 100 basis point reduction segment operating margin compared to the first quarter of 2012. As we look forward, we’re watching booking trends carefully in order to response to an expected improvement. But also recognized the key international end markets are restrained and spending must be managed carefully. Now, let’s move into discussion of the Assembly Component segment. Assembly Components revenues represented 32% of consolidated revenues, net sales increased to 107% to $92 million compared to the first quarter of 2012. Incremental revenue from the FRS acquisition is the primary contributor to the significant increase in net sales. Remember again that we acquired FRS on March 23, 2012 so, just over a week’s worth of operations is included in last year’s results. However, each key product lines in the segment contributed increased revenues in the quarter. On the strength of the new program launches secured in the Aluminum business, revenue in the aluminum business increased 11% as compared to the prior year. We are excited to see this improved aluminum results the customer program launches are still gaining momentum. We expect to see a more significant step change in revenue levels during the second half of 2013. Segment operating income grew to $6.8 million and segment operating income margin grew 7.4%, the addition of FRS was the significant contributor to this increasing operating income. We expect the quality of earnings will continue to improve as the aluminum business hit its strive, in terms of utilization and plant productivity. Next, I’d like to take a moment to discuss cash flows; operating cash flows are very strong and totaled $16.4 million for the first quarter of 2013. Net capital expenditure were $4.1 million for 2013 as a remainder of our effort in net capital expenditures because we entered into some low interest rate sales lease back transaction took finance some of our capital expenditures in 2012 and 2013. We’re still forecasting capital spending for 2013 to totaled $25 million plus $14 million of this amount representing growth capital for machining equipment for the new program launches in aluminum business of the assembly component segment. We expect depreciation and amortization to approximate $21 million, and we believe that our effective tax rate will be approximately 36%. In short, we’re pleased with first quarter result particularly given some of the ongoing softness in the few key end-markets or geographies. We believe this sets us up nicely for the rest of the year. Accordingly we reaffirm our forecast in our earnings per diluted share to be in the range of $3.65 to $3.95. Additional, reaffirming our forecast for EBITDA is defined to be in the range of $119 million to $124 million. We closed by mentioning how exited we’re with the Bates acquisition that was announced earlier this week. As you will recall we discussed our exciting growth strategy during our March call, which focused on our excellent organic growth opportunities and high value bolt-on acquisitions. We acquired Bates for approximately $20 million and it’s clearly the type of high-value bolt-on acquisition that we look for, which in this case will nicely augment FRS’ products and capabilities. Annual revenues in 2012 were approximately $42 million and we expected to be modestly accretive during 2013. We welcome the Bates team to the Park-Ohio family. Thank you, now I’ll turn it back to Ed.
Edward Crawford: Thanks Matt, Just the follow-up on couple of Matt’s comments relative to the Bates acquisition. This is exactly what we had in mind when we recently ask announce our N five strategy for 2017 increased revenues not only we just described by managerial on bolt-on meaning that the company fits directly into one of our current three business silos, but more important I think of it is excellent transaction. It appears to be, from my view point, a five star kind of look alike company. Let me describe those terms. Number one, these are all this particular acquisition has a lot of new customers to our company and that’s very important and these customers have potential targets for other products and services from Park-Ohio. That’s part of our evaluation of a transaction. Not many other new major customers. They manufacture products that we are currently not manufacturing. That gives us other items to carryover. So when you’re thinking of these acquisitions we’re thinking about what we’re trying to accomplish by 2017. An acquisition has to have some real high points of interest for us and more than one. So now we’ve great customers. Now if the products we can cross sell, then it’s a great location. We like rural plants. We like them in an area where we’re dominant employee and what’s just really particularly interesting about this particular acquisition, [beat] it’s 30 minutes from one of our most successful operations we have in that particular silo. So, it’s in the same neighborhood, great management, individuals running there for 28 years. Everyone knows everyone. So, there is a lot of synergies that we garnered out of having operations, a similar business not far from each other, but a standpoint of potential increase, which is another important part of it. It’s good management, but this company has opportunities to grow. It has opportunities to add EPS to our company going forward. So, high level acquisition. It represents what we’re looking at and what we’re trying to accomplish as move toward our 2017 goals. I now will open the lines for questions.
Operator: (Operator Instructions) Your first question comes from the line of Ajay Kejriwal with FBR Capital Markets.
Ajay Kejriwal – FBR Capital Markets & Co.: Thank you, good morning.
Edward F. Crawford: Good morning Ajay how are you today.
Ajay Kejriwal – FBR Capital Markets & Co.: Good thank you, Bates seems like a very nice bolt-on acquisition maybe a couple of questions there, first maybe talk about synergy opportunities bolt-on cost and revenue side, and then maybe if you can provide any color on valuation.
W. Scott Emerick: The obvious deficiencies of having two plants within 30 miles of each other, the management deficiencies we believe that there is definitely things to be accomplished that we can over a very short of period of time increase the historical EBITDA, so it’s there in people, it’s there in efficiencies and the plant I would say, the one we acquired is a little old fashioned by our standards relative to employee productivity, but clearly they will get their very short order. So it’s simply, this is blocking and tackling. This is again that’s why we call them bolt-on, that’s why we call them look alike because they are simple, straightforward businesses that we understand. We understand the customers, we understand the employees we like the concept of being in the rural areas, and this is where we’ve done best historically, so that’s we’re going to stay on that point.
Matthew V. Crawford: Ajay it’s Matt I would only add to that, but both of these companies are basic in rubber, so there is an expectation that as we grow bigger in extruding and molding rubber that they can potentially be some synergies in that area as well. So, while there are different products and different customers, which we view as cross selling opportunities, the capabilities the manufacturing facilities and the core raw material is the same.
Ajay Kejriwal – FBR Capital Markets & Co.: Got it. So, it sounds like you think at some point there wouldn’t be a revenue synergies.
Edward F. Crawford: Absolutely.
Ajay Kejriwal – FBR Capital Markets & Co.: Good. And is the evaluation similar to what you have been paying for deals in the past?
W. Scott Emerick: Yes, I think it’s we’re locked in the certain level as you know when we enter a transaction with the number we feel is very, very solid and we book at that particular number and decision is really (inaudible) how we can improve the company through technology, through productivity. So this is pretty straight forward stuff and the gentleman that runs one plant is down there is, one of our best plant managers in the country. So it’s in the hands of the right individual, so yes, I think it’s. And I don’t like this lower hanging fruit concept, but there is a lot of lower hanging fruit there relatively speak. I am not implying that there not efficient down there, there hadn’t been a lot of money to spend on it, privately held and held lot of capital has been spend on it to do the simple things that really increase the productivity per employee.
Ajay Kejriwal – FBR Capital Markets & Co.: Good and then maybe on the aluminum business is there an update on the ramp on the new programs. How did they do in the quarter and what’s the expectation for the second half?
W. Scott Emerick: It’s still a developing story the one of the platforms that we’re on is little behind from the revenue standpoint at the lots around the world, around the country, but that seems we catching up but it’s really as indicated we are very, very close to breaking to in seizure, but again when you bringing up this many key revenue, bring up $100 million and $70 million of this casting, and $30 million of this machining which is a new product for you, a new diversified product that will add a lot more profitability to that particular unit. It’s a lot happening, so we’re doing well, I’m not frustrated with it, but it’s on its way, but it’s been on its way for year and a half, so I think I can await another days, hope you can.
Ajay Kejriwal – FBR Capital Markets & Co.: Of course it’s a nice opportunity there, and then maybe last one from me, before I pass it on, so engineered products I thought there was a comment about expected improvement in orders, maybe provide a little bit more color on what you’re seeing there, and then on the order activity what’s the expectation, it sounds like expect things to pick up.
Matthew V. Crawford: Ajay it’s Matt, I would echo some of the comments that were made just recently on the March call, we have been seeing on going restrain equipment orders particularly larger equipment orders whether it would be in the primary steel and market or whether it would be international activity. Our performance in that segment has been buoyed by a pretty steady aftermarket and a reasonably strong U.S. manufacturing market. So we continue to struggle with that a little bit having said that we do feel that the order activity and the reverse order activity inquiry levels would support an ongoing rebound of a modest amount in the particularly in the induction heating side of the business.
Ajay Kejriwal – FBR Capital Markets & Co.: Got it. Thank you.
Edward F. Crawford: Well, thank you very much Ajay.
Operator: Your next question comes from the line of Steve Barger with Keybanc Capital Markets.
Steve Barger – Keybanc Capital Markets: Hi, good morning guys
Edward F. Crawford: Steve, how are you today?
Steve Barger – Keybanc Capital Markets: Very good. Most of the industrial companies we cover have missed on revenues this quarter. And just thinking about that in the context of Supply Technologies, can you tell us how much of the revenue decline was related to lower customer demand and how much was maybe due to the customer relationship you exited?
Matthew V. Crawford: Yeah, Steve, it’s Matt. I’d say, I wouldn’t want to be specific in terms of percentages other than to say that the majority of it was softness with our current customer base. Although the customers that we kicked out were significant portion as well, but I would duel less on that, because that has a positive impact on our margins, and say that the majority of it was softness. Obviously Class A truck being of the majority, but not least of which is well was we do have some government and defense exposure in that business and that struggled as well. So, they are both significant and the quarterly numbers, but I wouldn’t underestimate the impact of some slower key markets.
Steve Barger – Keybanc Capital Markets: Right. So just in, I think you alluded to this, but how would you characterize 2Q so far in terms of pull through for supply tech was April up sequentially from March, do you see a general firming trend or is it still kind of restrained?
Matthew V. Crawford: Well, I could comment that, as I’ve indicated in my comments. We expect the business to strengthen throughout the year when I say the business I mean Park-Ohio, I think Supply Technologies is no exception to that trend.
Steve Barger – Keybanc Capital Markets: Okay, and in terms of supply tech, is there any seasonal or structural reason why, the level of margin that you saw this quarter isn’t achievable for 2Q or 4Q the year.
Matthew V. Crawford:  I don’t know that we view the business as significant and any real material way to be honest Steve. I mean obviously we do have a lawn and garden segment that’s going to be better in certain time of the years we do, we have certain segments in our cyclical, but we’ve never thought of is being materially cyclical in any fashion.
Steve Barger – Keybanc Capital Markets: You’re right, now I understand so the margin level that we’re seeing now probably is how we should be thinking about as the business progresses through the year?
Matthew V. Crawford:  I mean I think it was the first quarter represented pretty good margins and good restrain on spending so, 7.7 I think in terms of margin was on the relative basis pretty good, but once again that was a function of pairing some business and some good mix. I mean truck for example, while it is extreme, not extreme, it’s a solid return on investment business. It is a lower margin business. So, the mix between kicking out from low margin customers or no margin customers and a truck falling off had the perverse effect of actually helping our operating margins.
Steve Barger – Keybanc Capital Markets: I see.
W. Scott Emerick: Let me answer that question little differently, I think the first quarter results here is a clear example of Park-Ohio’s diversified business strategy works. We have lots of touch points as we discussed with lot of industries okay, we have relationship with world class manufacturing companies and it’s not going to be the awkward says not going to perfect, within supply technologies, but the results will speak for themselves, and of course truck is down we miss it, we wish it rest there, but again we missed a couple of other things, but we could spend all day talking about what’s the difference. We’re talking about a company that has again a lot of touch points a lot of industries great customers, some are going to up and some are going to down. And this is soon we start thinking about the truck business, we know there is a little bit of a cycle here and it will come back very, very strong, because they will all the trucks of their lots. So we just have to be patient, wait around and hope the rest of the diversified portfolio hangs in there and continues to increase the revenues that increase the sales, increase the profits.
Steve Barger – Keybanc Capital Markets: Got you. I’m just saying it was a great margin, I would love to see that level throughout the remainder of the year, shifting to assembly expectation I think is in the segment will show pretty significant top line growth this year given what you did with (inaudible) last year as the aluminum business fills up, can you help frame up, how we should think about growth in that segment, before the base contribution, are you thinking high single low double kind of top line growth rate.
Matthew V. Crawford: Steve I would only tell you that and I can’t comment specifics on that because we don’t forecast individual segments, but I will say and I think we mentioned in our prior calls that FRS due anticipate a low related the mixed opportunities under prior ownership in of their key businesses. I don’t know why, I think the principal contributor to growth over the next year is going to aluminum offset maybe by a flat opportunity at FRS.
Steve Barger – Keybanc Capital Markets: Got you. Thanks. And, just prorating the $45 million number that you put in the press release for Bates over eight months suggests that maybe they’ll contribute around $30 million this year. Is that business accretive to the 7.4% operating margin that you put up in 1Q?
Matthew V. Crawford: So a reason that, one of the reasons that we’ve chosen not to forecast Bates that’s going to impact our 2014 forecast is it’s a relatively new. We are getting arms around it. We feel comfortable it’s going to be accretive, but to forecast margins quarter-by-quarter are impacted. It’d be too challenging at this point.
Steve Barger – Keybanc Capital Markets: All right. And one more and I’ll get back in line and it’s related question to what you just said. But, I know it’s early in the year. There’s plenty of end market concerns, but was the basic reason assumed in the original guidance or you’ve just given yourself a little room around figuring all that out by holding guidance constant even though you think it should be modestly accretive.
W. Scott Emerick: Yeah, I mean, Steve, I wouldn’t think of it as much of that as I think about the fact that as you just frame the issue yourself, you’re talking about $30 million on $1 billion left or so in revenue. So, I think that perhaps we have a window on our EPS guidance of $0.30. Anyway you slice at any assumptions you make. The base performance is important, but not really material to our guidance at this point.
Steve Barger – Keybanc Capital Markets: Fai enough. Thanks.
Matthew V. Crawford: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Jay Harris with Goldsmith & Harris.
Jay R. Harris – Goldsmith & Harris Incorporated: Good morning, gentlemen.
Edward F. Crawford: Good morning, Jay. How are you today?
Jay R. Harris – Goldsmith & Harris Incorporated: Very good. Yourself?
Edward F. Crawford: Excellent. Thank you. I have the impression from prior conference calls that your capital spending plans this year would be lower than what you’ve just stated as $25 million. If that’s right where is the incremental money going, on what kind of projects?
Matthew V. Crawford:  Jay, I’ll kick it off and then I think [may I cleat it off]. We have, I think, been very transparent that over the last four calls that as we continue to see more opportunity in the aluminum segment, we’ve tried to seize those opportunities appropriately. So while I do recall a call, I’m guessing now, three calls ago four calls ago they discussed in 2013 getting back to more reasonable levels or more historic levels. I think that we’ve been transparent in that as we continue to see opportunity. We’re seizing it. So the answer to your question is it’s moving target as we see more opportunity and for line sure that money is going into the aluminum business.
Edward F. Crawford:  Go ahead. I’m sorry. Were you going to add?
Matthew V. Crawford:  Yes, I was going to add the copper. I think we’ve discussed this. We have, in the aluminum business historically industries function. There is a casting company, which we were and then it was, the OEMs would just go to a particular machining company, which we did, and then it’ll go to a company that did the assembly for the company or the buyer, the ultimate auto buyer. When we took on this $100 million, I’ve indicated numerous times that 70% of that was invested in the casting business in our five plants. The change is we have moved and we’re the only one in the industry in all five plants in which we cast the product. We machine the product new. We machine the product and we do the assembly. And this has been a very important change. It’s been well received by the buyers because (inaudible) are moving in freight around from making the casting, shipping some of the duty machining. They’re shipping some of the duty assembly. They’re paying for that. They fully understand that now and that maybe why we’ve enabled our right and been so successful and will be successful in writing more business in aluminum component business. It’s clearly we’re able to do all within one building that can capture the scrap from the casting and reprocess. So any change in the regional profile of where we are going in the CapEx around aluminum changed when decision was made that go into the machining business, which has a higher return on investment than the cating. Now does that explain the…?
Jay R. Harris – Goldsmith & Harris Incorporated: Yes, very well. Is there a possibility that as we move into 2014 that you’ll see more opportunities?
Edward F. Crawford: We could not. Again, I have never seen the robust nature of the aluminum business as far as components are concerned. The big platforms people that would consider firm will consider that From-150 a big platform, yeah. Quite so we consider the minivan a big platform. Up to that this point they have been doing that product in iron. There is high likeability it will go to aluminum and quite frankly at this particular juncture I don’t plan to adding more CapEx to the current platform we have because the current platform, we’ve it’s the current platform right we have has indicated, has the potential to do close to $250 million. So we’ve got five plans and virtually all sold out. So, any investment in this would be, if we intend to participate in the next round of dramatically increase amount of aluminum in the cars. It’s something that we’re thinking about virtually everyday, but aluminum content is going upon all the major platforms that have reduced weight, and quite frankly I think there is a shortage in embedded casting and machining in North America as we speak. And someone is going to have the step up and meet that demand, and we’re looking at that particular time but right now our strategy is to take the five plans, reach the goals we’ve talked about, and that’s what in our mind at this point, but it is important to realize that we’ve to be in the machining business to recapture the scrap to recycle it within the building, and our customers look at this initiative as reducing their cost without taking any margin from us, that’s important thing. So, we think we’re going to increase our margins, EBITDA on the sales because of machining and we save the customer a lot of money by eliminating all of freights. So we’re pretty happy where we are, it’s has been still incoming the ramp up but the results will starting to speak and will get louder as we go through the year.
Jay R. Harris – Goldsmith & Harris Incorporated: That’s an excellent answer, timeframe when is the next round of ramp in aluminum use in automobiles, likely to be designed in, when are we talking about…
Matthew V. Crawford:  2016.
Jay R. Harris – Goldsmith & Harris Incorporated: Okay, thank you.
Matthew V. Crawford: The bidding process starts in really end of this year, first part of next year.
Jay R. Harris – Goldsmith & Harris Incorporated: Thank you.
Matthew V. Crawford: Okay, thank you very much Ajay.
Operator: And at this time there are no questions. I’ll turn it back over to the presenters for closing remarks.
Edward F. Crawford: We want to thank everyone all the stakeholders in the company. Again as we’ve indicated we’re taking off to a good start. This is clearly a time and probably for, hopefully forever where the company again is diversified enough as enough touch points, as enough customers, world class customers around the world, and everything will be perfect. Every quarter there will be some up and some down, but generally speaking the Company is in a position to reach its goal for 2017. Nothing happened in the first quarter to indicate we’re not going to be able to accomplish that. So we’re on the phase in the first quarter do recycle, so let’s just stay there and keep moving. And I think we’re in the right place, the right time, and we thank you and everyone for their support. Have a nice day
Operator: Thank you, ladies and gentlemen. That does conclude the Park-Ohio first quarter 2013 results conference call. You may now disconnect.